Operator: Welcome to the Second Quarter's 2014 Earnings Release Conference Call. My name is Hilda, and I will be your operator for today. [Operator Instructions] I will now turn the call over to Ms. DeAnne Gabel, Senior Director, Investor Relations.
DeAnne Gabel: Thank you. Hilda. Thank you. Welcome to Spirit Airlines' Second Quarter 2014 Earnings Conference Call. Presenting today will be Ben Baldanza, Spirit's Chief Executive Officer; and Ted Christie, our Chief Financial Officer. Also joining us are John Bendoraitis, our Chief Operating Officer; and Thomas Canfield, our General Counsel. Remarks during this conference call will contain forward-looking statements, which represent the company's current expectations or beliefs concerning future events and financial performance. Forward-looking statements are not a guarantee of future performance or results and are based on information currently available and/or management's belief as of today, July 29, 2014, and are subject to significant risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements, including the information under the caption Risk Factors included in our annual report on Form 10-K and quarterly reports on Form 10-Q. We undertake no duty to update any forward-looking statements. In comparing results today, we will be adjusting all periods to exclude special items and nonoperating special charges. Please refer to our second quarter 2014 earnings press release for further details regarding our assumptions for the reconciliation to the most directly comparable GAAP measures. With that, here's Ben Baldanza.
B. Ben Baldanza: Thank you, DeAnne, and thanks to everyone for joining us. Today, we reported that our second quarter 2014 profit increased 45.2% year-over-year to $66.5 million or $0.91 per diluted share. Operating income grew nearly 46.4% to $106.3 million, resulting in an operating margin of 21.3%. Our team delivered these results while offering low fares while maintaining our commitment to deliver value to our customers and our shareholders. I want to thank all our team members that contributed to these excellent results. Top line revenue grew 22.6% compared to the second quarter last year. Total revenue per ASM increased 4.6% year-over-year. In addition to a strong demand environment, the calendar shift of Easter occurring in April this year compared to March of last year created a nice tailwind in the second quarter. Offsetting these benefits was a 4.4% increase in our average stage length, which created a 2.3 percentage point drag on RASM. Our ticket revenue per passenger segment increased 9.3% to $84.75 driven by the strong demand environment. Nonticket revenue per passenger segment increased 3.2% to $55.15. The year-over-year increase in nonticket was primarily driven by a higher volume of passengers selecting to purchase seat assignments. Our recent software update that enables us to sell seat assignments at our kiosks along with taking a more rigorous approach to revenue managing our seat inventory contributed to higher revenue from seat assignments. During the second quarter, we experienced very high load factors across the network, with our average load factor for the quarter increasing 1.8 points to 87.5%. We continue to be pleased with the performance of both our new and mature markets. The mystery of the bare fare crop circle in Kansas City has been solved. As announced in the second quarter, beginning in early August, customers will enjoy our low fares to and from Kansas City International Airport with service to Chicago, Dallas/Fort Worth, Detroit, Las Vegas and Houston. Also beginning in August, we will launch service from Houston to New Orleans and Atlanta and from Fort Lauderdale to New Orleans. Beginning in early September, we will add routes from Houston to Fort Lauderdale and San Diego. During the second quarter we announced new seasonal routes starting in the early winter between Boston and West Palm Beach and between Latrobe and Fort Myers in Tampa. Last quarter, I mentioned that we had developed some creative ideas aimed at better aligning our customers' expectations with Spirit's a la carte business model, all while saving money on airline travel transparently and consistently. This campaign includes a rebranding of our website and dedicating a Spirit 101 page with videos and tips to help educate our customers on how to save on Spirit. We'll be targeting messaging via many additional touch points as the campaign matures. We're very encouraged at the early results of this effort, and the Bare Fare plus Frill Control messaging is resonating well with customers, as they see the benefit of only paying for what they truly value. As we continue down this path, we expect ever increasing alignment to a business model that provides the lowest total fares coupled with high consumer choice and high returns for our shareholders. With that, here's Ted.
Edward M. Christie: Thanks, Ben, and again, thanks to all of you for joining us today. Let me express our sincere thanks and congratulations to our team members across the Spirit system. Their dedication and commitment allowed us to deliver on our promises to our customers and our shareholders. During the second quarter, our team delivered excellent results and produced material improvements in controllable components of our cost structure, which contributed to the year-over-year increase of 3.5 percentage points to our adjusted operating margin. CASM ex-fuel for the second quarter of 2014 came in at $0.0595, a decrease of 0.8% year-over-year. The benefits of improved operational reliability cascaded throughout the cost structure, but are most noticeable on a per ASM basis, in lower passenger reaccommodation expense, crew lodging expense, call center expense and overtime. We also benefited from lower aircraft rent per ASM, as a result of the 14 A319 lease extensions we completed last summer. These benefits were partially offset by higher depreciation and amortization expense and higher maintenance materials and repairs on a unit basis. Salary, wages and benefits per ASM were also higher year-over-year with the largest driver being higher group healthcare cost. We ended the quarter with $567 million in unrestricted cash. During the second quarter, we took delivery of 1 new A320 aircraft, bringing our total fleet as of June 30 to 57. We took delivery of 1 aircraft last week under a sale-leaseback financing and have 7 additional new aircrafts scheduled for delivery by yearend 2014. We have sale-leaseback financing in place for 3 of those aircraft. As we've previously discussed, we have been negotiating secured debt financing for the remaining 4 2014 deliveries and the first 11 2015 deliveries and have reached preliminary agreement with lenders on the material terms of this financing subject to final document negotiation. Turning now to our 2014 guidance. Based on the forward curve as of July 24, 2014, we estimate our fuel price per gallon for the third quarter will be $3.09. We have layered on some hurricane protection hedges for approximately 50% of our third and the fourth quarter fuel volume using out-of-the-money jet fuel call options. Capacity for the full year 2014 is expected to be up 17.8%, with capacity up 14.7% in the third quarter and up 18.7% in the fourth. For the third quarter 2014, we estimate our CASM ex-fuel will be up 1.7% to 2.7%. Primary drivers of this increase include costs related to the hiring and training of flight crews, as we prepare to take delivery of 7 aircraft in the fourth quarter, and continued pressure from increased depreciation and amortization and additional pilot cost related to FAR 117. In addition, a sequentially slower growth rate compared to the first and second quarter put some pressure on third quarter CASM ex-fuel. Nonetheless, our strong CASM results for Q2 gave us confidence in our recent investor update to improve the full year 2014 estimate for CASM ex-fuel by 50 basis points, such that we now expect it to be up 0.5% to 1.5% year-over-year. We feel very good about our cost structure and continue to believe that with our focus on improving our operational reliability and our overall focus on cost control, including the benefit of cost effective debt financing on our 2015 deliveries, we can manage CASM ex-fuel to be up slightly this year and down slightly next year. With that, I'll turn it back to Ben.
B. Ben Baldanza: Thanks, Ted. We had a great second quarter. Our team delivered strong top line growth and maintained their focus on cost control, achieving a pretax return on invested capital for the 12-months ended June 30 of 32%. And we expect to deliver a strong third quarter 2014 despite lapping an unusually strong third quarter RASM last year driven in part by an exceptionally strong September 2013. For the third quarter, we are currently estimating that our operating margin will be between 20.5% and 22%. And for the full year 2014, our operating margin target range is 17.5% to 18.5%. Our full year target assumes the demand environment remains similar to what we experienced in 2013 and that fuel price per gallon averages $3.11. Now back to DeAnne.
DeAnne Gabel: Thank you, Ben and Ted. We are now ready to take questions from the analysts. [Operator Instructions] Hilda, back to you.
Operator: [Operator Instructions] The first question comes from Michael Linenberg.
Richa Talwar - Deutsche Bank AG, Research Division: This is actually Richa Talwar filling in for Mike. Just a couple of questions here. First, Ben, I appreciated the comments you gave on mature versus new market, but I was hoping you could elaborate a little bit more on the difference between domestic versus international. We've heard from some of your competitors that they're seeing some softening of yields to and from Latin America, and I was wondering if that was something you experienced as well or if that's mainly a function of maybe softer business demand and leisure trends are holding up?
B. Ben Baldanza: Thanks very much. Actually, our growth over the last year or so has been more focused domestically than internationally. So international, as a percentage of our total, has become a smaller part of the network not because it itself is shrinking, but because the rest of the domestic system is growing. We certainly see different pressures in different parts of, whether it's international or domestic or even by lane within certain areas, but we have a very good process in place and are very nimble about deploying our assets to make the highest possible return. So we move capacity as necessary in and among different routings, and in that sense, we tend to be pretty agnostic between international and domestic flight. We look to deploy the airplanes where they're going to make the highest return. So we make -- we are encouraged and feel positive about our international flying and our domestic flying, and we manage the network to feel good about everything we do, basically.
Richa Talwar - Deutsche Bank AG, Research Division: Okay. Got it. And then sort of a broader question, regarding Southwest's plan to start international flying soon, can you talk about any concerns you have, if at all, about them potentially entering markets you serve? I realized that you 2 have very different business models, but just wanted to get your general thoughts around that.
B. Ben Baldanza: I mean, it -- to us that seems pretty natural that at some point they're going to do that. They've been talking about that for a while. We kind of -- we serve a market, as you stated, that is a little different than most of the other airlines do. In general, we're living on demand that other airlines' revenue management systems are rejecting. And so to some extent, more seats in the market can certainly maybe destabilize for some period of time the marketplace, but overall, we think our product for our customer is nicely well suited, and that the volume of traffic that likes what we offer, which is the lowest total price, will keep us doing just fine.
Operator: The next question comes from Hunter Keay.
Hunter K. Keay - Wolfe Research, LLC: So you guys are talking about CASM ex-fuel being slightly down next year, and you've also talked about sustaining margins next year, too. So should we imply, therefore, that you're thinking about -- at this point in time, there's no way you can guide to this, I realize it's too far ahead, but your TRASM being slightly down too? Or is the goal to sort of keep TRASM flat next year? Are you thinking about it from a TRASM perspective or from a margin perspective? I guess, would you be comfortable with a little bit of TRASM decline if your CASM is down too, if your margins are flat? Or is the goal to be better than that? Is the goal to keep TRASM flat?
B. Ben Baldanza: Thanks, Hunter. We have no specific TRASM goal other than what it's necessary to earn the margin goal that we used to have. So we manage the company toward to margin and to return on invested capital. And so there are -- if we can grow more and earn our target margin and that in and of itself might have a depressing effect on RASM for some period of time or something, we would absolutely accept that, if that was going to be more accretive to our shareholders. So in general, we manage the company to RASM -- I mean, to net income and margin, and RASM tends to be sort of an output more than a set goal. We wouldn't, for example, intentionally run a lower load factor to drive yields up if we can make more money by filling more seats with a lower yield.
Hunter K. Keay - Wolfe Research, LLC: Yes, okay. Perfect, Ben. And sort of a 2-part question, as I look at the fleet plan for the A319s, you've got, I think, 3 that are planning on being retired in 2016. Do you have the flexibility or way or should you -- should I think about you may be considering extending those operating leases? Are those gone no matter what because they don't really fit the evolving mission of what you guys are trying to do on the fleet side? And so that would take your fleet plan from sort of 13 planes into 16 planes and if you're going to extend those leases all sequel. And how should I think about that in a context of sort of a preliminary sort of capacity range for 2016?
Edward M. Christie: Thanks, Hunter. It's Ted. We -- one of the things we've always said is, we enjoy the flexibility as the fleet plan moves through the tail part of this decade to consider those retiring aircraft and whether or not we view them as a shell that is just needed to expire as the lease expires or perhaps extend them opportunistically to either enhance the growth or to take advantage of certain market conditions. And we've already done some of that, I alluded to that earlier that we've extended some airplanes last summer. So as it relates specifically to those 3 airplanes, I think we would take that on a real-time basis. We may evaluate whether or not those aircraft can be, specifically those aircraft that would retire in '16, can be part of a long term or a longer-term part of the fleet. For now, as it's laid out for you, they roll off in 2016 and should be assumed that way from a capacity standpoint. But if our view were to change specifically on those airplanes for any reason, we would, of course, update you.
Operator: The next question comes from Savi Syth.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: Just on the -- bag is obviously a big part of your ancillary revenue, and I know, you've talked in the past about the opportunity dynamically, price bags based on kind of high season or just cumulate the demand in the low season. And I know you've made some technology investments. I was just wondering how close are you to being able to implement that and maybe what the some of the challenges might be.
B. Ben Baldanza: We're still not to a point where we can dynamically price bag the way tickets are priced, but we've done a lot in this area. And we've been -- we've implemented some higher bag charges for peak summer period times, and based on that, have rolled some of that out to other holiday times and things. We have changed over the last few years, as you know, some parameters on bag pricing based on where you buy, when you buy and so on. So all those things are directionally in the line of a more dynamic way to price bags or a better way to say that might be to better tie bag demand to bag pricing for the individual route or time period we're talking about. So bags aren't where tickets are yet, and I don't know that they'll ever get exactly there. But we've moved a long way in that direction, and we've seen good positive benefit from that in our bag revenue line.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: And then, when was the -- when did you implement the higher bag fees during peak season?
B. Ben Baldanza: It was in the second quarter.
Edward M. Christie: Yes, the summer -- the increase to summer-related bags started at the tail end of June.
B. Ben Baldanza: That's right. It was announced earlier, but...
Edward M. Christie: Yes.
Savanthi Syth - Raymond James & Associates, Inc., Research Division: That's helpful. And then just very quickly, I mean, I don't know if you can give any color on I think last year, third quarter, was very strong and then, I think, especially September. So are you thinking that you have much tougher comparisons here into this third quarter?
B. Ben Baldanza: Yes, September is going to be a tough comp to lap just -- September 2013 was a very, very strong September. This September, we -- I mean, we expect the third quarter to be good for us. But we have to recognize the fact that we have 7 airplanes coming in the fourth quarter, and some of that capacity is coming at what would be a traditionally weaker time of the annual seasonality. We feel great about that capacity in terms of margin, in terms of long-term fit for the airline, there's no -- we're not concerned about that growth in that sense, but if that affects a specific 1- or 2-month period, it can certainly have -- make a difference. So yes, we'll -- we expect to do fine this third quarter but last -- third quarter 2013 is a tough comp because of September was so strong last year.
Operator: The next question comes from Joe DeNardi.
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: Ted, I'm wondering if you could provide some color or maybe quantify, as you guys start to finance some of these deliveries, maybe what the net impact to operating margins is expected to be? Or I guess, how that -- what the breakdown between kind of rent and D&A or below the line is going to be, if that's included in your outlook for CASM next year?
Edward M. Christie: Sure. So our view is the -- there are optical geography benefits to owning airplanes versus leasing them that we've talked about before. That would be the sum of depreciation and interest expense, even if you assume them to be neutral with rent. Just the physical move of interest below the operating line makes that a CASM tailwind. But more important to Spirit is can we drive cost of capital improvement by financing aircraft in the debt markets rather than the op lease markets? And we've answered that question, yes, because we've entered into some of these arrangements to do just that. So we believe that the net effect of the sum of depreciation of an owned asset plus the interest expense is going to provide EPS improvement and operating income improvement in both cases. And we've said in the neighborhood on the kind of pretax line, somewhere in the neighborhood of $800,000 or so per shell. So once you figure in interest expense and all that other sort of thing, that's kind of the improvement we expect to see going forward as these airplanes roll in.
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. I mean, do you have a sense for -- on the CASM line, I guess, you could back into it, but what the benefit to CASM next year is going to be?
Edward M. Christie: We haven't fully kind of given you our detailed view on CASM for 2015 yet. But as we're thinking about our objective to driving CASM down next year, that's factored in to part of our view to keep -- offsetting some of the pressures we see, this is one of the -- as you've talked about, this is one of the better opportunities we have to get to get cost improvement.
Joseph W. DeNardi - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then on the salaries and wages line, you mentioned it's up on a unit basis with healthcare costs, the driver [ph] I mean, how big a piece of the increase is healthcare? I mean, do you think at some point you can start to get some better leverage there?
Edward M. Christie: Well, we hope so. Healthcare costs, I think, this is not an airline-specific problem, have been a problem across the board for a lot of folks. And I would say in looking at that line, it's the biggest driver of the year-over-year increase. But our hope is that, that begins to mitigate some, once we all digest what's happening in our society from a healthcare-related expense perspective. And quite frankly, although we talk about this a lot, we do expect that scale is another way for us to get some benefit there also. So as the airline grows, that will hopefully mitigate some of the pressures that everyone sees in healthcare.
Operator: The next question comes from John Godyn.
John D. Godyn - Morgan Stanley, Research Division: Ben, we've heard you in the past talk about 500-plus markets where you could hit your margin target. If we just sort of think about that number, I mean, it doesn't seem like a stretch to think that there might be 100, 200 markets that are much, much higher than your margin target today, and it would take years even to open up that many markets. Why wouldn't we see the company continue to exceed margin targets for years to come if there's just so much low-hanging fruit out there?
B. Ben Baldanza: Well, thanks, John. We obviously do feel very bullish about our growth, and we -- and we're disciplined about our growth. We try to quantify where the best opportunities will be. I think that we recognize that the current environment, that the industry is operating right now, is terrific, right? There's those lots of capacity discipline, there's a lot of fair stability. And in that kind of environment, the ability for us to grow and maybe outperform what we think of as a long-term target margin, that's not an unrealistic sort of thing. But we can control what we can control. And what that is, is deploying our plane in the right markets, maintaining our own cost control, driving the airline to what we believe are high-target returns. And whether or not the industry around us maintains the kind of capacity discipline and price discipline that allows us to achieve maybe a little higher than average margins, well, we can't quite exactly control that. So that's why we can sort of see the next quarter or the next half year a little more clearly than we could see years out. We feel very good about this airline's ability to produce what we think of as high margins, in the 15% to 17% range, long term from our growth. Operating above that takes something beyond just something ourselves can do.
John D. Godyn - Morgan Stanley, Research Division: Got it. When we think about the long-term target for ancillaries. If I remember correctly, the last thing we heard was that it could go above $60 per passenger. I'm just curious, Ben, if there's anything you can tell us to help us understand kind of the cadence of that over the next few years. Is there anything on the horizon worth mentioning that might get us there a little bit faster?
B. Ben Baldanza: Well, John, another good question. We've talked about a couple of things as it relates to ancillary. We've said $60 is the next target because we're in the mid-$50s. When we were in the mid-$40s, $50 was the next target. And so sort of some extent, that's where the $60 number came from. We've also talked about ancillary revenues at some point maybe asymptotically approaching 50% of total revenues. Both of those things are sort of aspirations for what we think of as an important part of the revenue structure of the airline. But as we've said multiple times, we're managing the company to total revenue, so what our ancillary revenues do give us more flexibility as what we can do with our base fares. But the total price that the customer pays, of the base fare plus the ancillary they actually buy, is what drives our revenue performance, and that's what we sort of manage the airline to. So all that said, we want to increase ancillary revenues. We're looking for ways to increase ancillary revenues. Some of that is little smarter pricing like we talked about a little earlier, in the bags and such. Some of it is adding new products and services for customers to buy. Some of it might be more pass-throughs when we can create that somewhat. But so we're looking in lots of ways and have a good creative team pushing that. We've continued to see good results from that. But naturally, as you'd expect, we're on just the flatter part of the curve. We've gone over the last 7 years from $5 to $55 so the next moves are going to come in $0.25, $0.50 kind of increments realistically as we move forward.
John D. Godyn - Morgan Stanley, Research Division: Great. And then, just last question. We are in a phase here where you're up gauging for the next few years into larger aircraft types. Just given the market opportunity out there, kind of what we talked about how many new markets there are to open, it does seem that just based on the cost profile of those new aircraft types, those should be margin mix positive as we think of the next few years. Isn't that a tailwind?
B. Ben Baldanza: Well, I mean, it's a bit of a tailwind. In general, we are gauging up. I mean, today we're a 319, 320 airline essentially, and over time, we're becoming a 320, 321 airplane and in all cases, trying to put even more seats on all the airplanes. And so in that sense, we are gauging up. And we -- that certainly has positive CASM benefit to the airline. On the RASM side, it's not necessarily RASM accretive to add more seats. We have a much smaller difference between our lowest and highest fares than most airlines do. So the concept of adding marginal seats isn't as big a deal for us as it might be for a more traditional airline. But the reality is, as we add more seats, we're adding more low fares plus ancillary and we can make money on that, that's good. But total unit revenue isn't necessarily going to be higher as we gauge up, but we think margin should do very well as we gauge up.
Operator: The next question comes from has Helane Becker.
Conor Cunningham - Cowen and Company, LLC, Research Division: This is actually Conor in for Helane. Just to piggyback up a previous question. With higher bag fees in the seasonal peak and the acceptance of the seat assignments, should we actually expect nonticket to actually grow sequentially in 3Q?
B. Ben Baldanza: We haven't put our guidance on that. But in general, we're encouraged about sort of our initiatives in ancillary, and we continue to see good growth in that so...
Edward M. Christie: And again, I would reiterate what Ben said before is that we're a total RASM, total revenue management group. And so as we think about our margin going forward, we think about that mix that way, too. So it's important, but we want our customers to pay the lowest total price.
Conor Cunningham - Cowen and Company, LLC, Research Division: Okay. And just a follow-up, you talked a little bit about the investments that you'll need to make to accommodate the growth in 2015. Can you just talk about how many pilots you may need to acquire or maybe further investments that you may need to have to kind of accommodate the 29% capacity growth that you're expecting? Any color here would be great.
B. Ben Baldanza: Well, John Bendo, our COO, is on the call. So John, I'll ask you to answer that.
John Bendoraitis: Sure. Hey, Conor. This is John Bendoraitis. So the way to think about that is, today we have about 960 pilots at Spirit. And for every aircraft show that we add, you can think of it kind of a rough back of an envelope map, about 15 pilots per aircraft show.
Edward M. Christie: And the other thing I would add, this is Ted, that the good thing that we've always said about our company is the growth that we add doesn't require massive changes to the infrastructure, doesn't require massive changes to the way we do business. And that continues at 10% growth, 20% growth and 30% growth. The type of infrastructure that we need to add are the routine things that Bendo was just mentioning, we got to have pilots, we got to have flight attendants, we got to have mechanics who can work on the airplanes. But we don't have to change our technology necessarily, we don't have to change our distribution network, we don't have to change -- we don't have to add massive facilities. And so there are lag-related costs as we grow because we have to bring people in maybe a little sooner than they can actually physically be deployed, but still very unit-cost efficient, scale-driven growth rather than the opposite.
Operator: The next question comes from Duane Pfennigwerth.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: I just wanted to ask a little bit about the growth. I mean, if we just go back since the time we followed you in the IPO, you've had a very constrained conservative growth rate, 7 to 8 aircraft per year, 1 to 2 aircraft per quarter. And obviously, this model is working so well. As you described, capacity discipline in the industry, which you've been a part of, fair stability and in my comment, competitors largely ignoring you today. So why does it makes sense to change what you've historically done that has worked so well? Why does it make sense to push the pedal down on growth when the existing plan works so well?
B. Ben Baldanza: I can see why you might think of it that way, Duane, but we don't -- I guess, we just don't really see it that way. We have said consistently for the last couple of years that the company plans to grow between 15% to 20% per year between -- from 2012, we're saying that through the end of the decade, and that's exactly what we're doing. The reality is, is that we have an airplane order with Airbus that has certain delivery times. And we've worked with Airbus a multiple times to try to refine that, to ensure that it has the right mix of 321 and 320s and the right timing of those deliveries. But that said, there's going to be, if you look at any one quarter or any one 12-month period, there's going to be some lumpiness in that 15% to 20% growth rate. But that said, overall, the growth rate of sort in that 20-ish percent range is holding from 2012 through 2021. So we don't see this as being particularly problematic for the airline. Yes, in 2015, a higher percentage of our routes will be what we classify as new flying, which means flying that started in that year, and that will have some effect on all of our metrics. But we only add things if we believe they're going to make money and earn our target return or better, and we believe that's true with this growth as well. So we don't see this as changing or putting the pedal to the metal in any meaningful way at all. We see it as executing against what we've been saying consistently for the last 3 to 4 years since the IPO. And just the timing of aircraft deliveries creates what looks like a little bubble, that if you look at it over a couple of year period, there's no bubble at all.
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Okay. And then, Ted, could you just help us, and I apologize if you've already disclosed this, think about an economic or gross CapEx number for 2015? I mean, is $35 million to $40 million a shell kind of the right way to think about it, which would get us to like $550 million, $600 million in CapEx?
Edward M. Christie: In just aircraft-related CapEx?
Duane Pfennigwerth - Evercore Partners Inc., Research Division: Yes.
Edward M. Christie: Yes, I think somewhere in that kind of $40 million to $45 million per shell sort of range.
Operator: The next question comes from Stephen Trent.
Stephen Trent - Citigroup Inc, Research Division: Just a quick question for me. Kind of a follow-up to some extent to Mike Linenberg team's question. Looking at the Latin America side, I know you guys have been very helpful and very clear about the broad strategy and you've seen more opportunities on the U.S. side. I recall, if I'm not mistaken, some time ago, you had some fifth freedom traffic rights to Bogota, which I don't think you've done much with. You'd also have Mexican airport authorities at least also pushing a potential pilot program to do fifth freedom flights traffic rights through Toluca airport. And I'm just wondering what your thoughts are on those opportunities, if you have problems with the infrastructure or if guys like VivaColombia are maybe being a little more aggressive than you'd previously anticipated. And just if I could -- you could comment on that, that would be great.
B. Ben Baldanza: Sure. Well, one of the great things about Spirit is that we've got a lot of growth opportunity and that includes a fairly robust domestic market with -- where fares are still generally higher and lots of good place for us to fly and international markets that are performing well today and more international opportunity. That includes, more flying internationally from cities in the U.S. that we currently fly through. And it also could include, some fifth freedom kind of flying. But that's a -- and we know what's available to us. And so our route planning process and our network design process contemplates what the aircraft routing issues would be, what the sort of marketing issues, both positive and negative could be, if selling local traffic from Colombia to Peru, for example or something like that. And we have to think about what the total return of that opportunity would be against other opportunities for that same capacity deployment or that deployment elsewhere. So we believe, if you look at us now and then you look at us a few years from now, we think we'll be flying more internationally a few years from now. We'll also be flying more domestically than we're flying now. And whether or not fifth freedom authorities are part of that is really going to be a function of whether we can prove to ourself that, that's a better return opportunity than just doing nonstop U.S. to a foreign point flying.
Operator: The next question comes from David Fintzen.
David E. Fintzen - Barclays Capital, Research Division: Ben, a follow-up from an earlier question. You had mentioned to your ability to be nimble in reacting to weakness. Can you just help us a bit with the process there? Are you -- do you react when you see the weakness show up in RASM? Or are you actively looking at capacity forward and reacting before it shows up in RASM? Just a little help there in terms of how you manage that.
B. Ben Baldanza: Sure. Well, to clarify, we think we're nimble to react to the weakness or strength. But what we do is when we decide we're going to fly something, we set very firm targets on returns for that. And we get information very quickly. We see how that books, we see the kind of fares are booked at. We estimate -- we can measure cost pretty very effectively, so we can estimate what something -- what an individual route is going to -- how an individual route is going to perform long before the plane actually takes off. And we have lots of levers to pull to react. We can change price, we can change capacity with gauge, we can change capacity with frequency, we can promote, we can raise fares, we can do lots of things in the cycle up to -- months before up to leading to a flight. So the reality is by the time a flight flies, we -- it flies because we believe that it's going to be successful in that flight. And so we tend to react very early on in the process. We don't wait till something happens and then look with hindsight and tell you, " Oh, that worked" or "Oh, that didn't work." Our business model wouldn't really work if we did that way. We have a very dynamic and active, I would say, revenue planning process, which includes the network planning and the pricing revenue management function to sort of, on a real-time basis, watch everything we're doing. And with lots of levers to pull, we manage the business on a very grassroots active level basis.
David E. Fintzen - Barclays Capital, Research Division: Okay, that's very helpful. I appreciate it. And then maybe just a quick one for Ted on the cost side. Now that you're kind of 6 months through the FAR 117, is that cost that just becomes permanent cost in the cost structure? Or was there a little bit more cost upfront that kind of winds down a little bit going forward once we overlap the impact?
Edward M. Christie: There was some lag, Dave, going into the tail end of 2013 building into it. But then it just becomes a permanent part of the structure to support the new regulations, going forward. Now again with scale, we hope that, that gets mitigated because you're basically reserving the airline differently than you used to. So there's hope that we can manage that, that effect down over time, but it's not material. The base part of the cost of that regulation is kind of just like a permanent piece to your cost structure.
Operator: The next question comes from Dan McKenzie.
Daniel McKenzie - The Buckingham Research Group Incorporated: Ben, one of the things that jumps out of me when I look at Spirit's schedule data is that roughly 30% of the departures occur in peak time channels, and so call it 6:00 to 8:30 a.m., 4:30 to 7:30 p.m. And I know you've shared in the past that it's not intentional. We all know you don't go after the business traveler, but the potential for last-minute bookings does have the potential to boost your revenues, just given the percent of flights during this time channel. So I guess I'm wondering, first off, what kind of perspective you can share on this segment of flying and perhaps last-minute bookings this year versus a year ago. Or if not that, what kind of pricing actions at least you're seeing from legacy airlines during these time channels versus say the off-peak time channels.
B. Ben Baldanza: Well, it's such an insightful comment you make. The reality is it would be very hard to run a high-utilization airline if we said we're just not going to fly in those channels, right? So we don't fly in those channel necessarily for the same reason that other airlines fly in those channels to try to attract what we think might be a higher-paying demographic that flies at those times. We fly in those channels because the plane's at the airport, and if it doesn't take off, it doesn't make any money. So we have to fly in peak business time channel in order to fly 13 hours a day or 12.8 hours a day just like we have to fly at 1:00 a.m. as well to make that happen. So even though the flight might appear to look like a time for business travel because it leaves a big city at 7:00 a.m and arrive in another big city at 9:00 a.m., that doesn't mean that, that flight changes the orientation of the airline to, say, for that flight we're going to try to attract business traveler. There's nothing about what the airline does in terms of its physical configuration of the airplane, the way we distribute the product, the way the type of airport conveniences we offer or don't, the way we do our service on board and our level of frequency. None of those things are naturally attractive to the business traveler. We don't even have a sales force that knows where these people are to talk to them. So the reality is just because we departed 7:00 a.m. or departed 6:00 p.m., what's on our plane is still discretionary traffic that bought our tickets because we were the lowest total price.
Daniel McKenzie - The Buckingham Research Group Incorporated: Understood. I guess my question was a little bit different though. I was wondering if you can comment perhaps on any pricing actions that you might be seeing during the segment from legacy competitors or perhaps last-minute bookings. Is there any kind of -- as it pertains to the revenue system. I guess I'm just trying to get some insight into how that segment has the potential or not to boost your PRASM here.
B. Ben Baldanza: As you'd expect, we generate higher TRASM in daylight than on the backside of the clock. And that's just generally true, I think, for everyone in the industry. But overall, I mean, we're encouraged by the current competitive environment with things. But that said, I mean, we -- as we said all along, we deploy capacity equal to what we think we create through stimulation with our fares. So if we believe we're going to stimulate a couple hundred people, we'll add one trip in the market. If we think we're going to stimulate 400 people because of the number who start flying and what our fares can be, then we'll add 2 trips in the market. And it's really that simple. So we're not actively out trying to create, we're not actually out trying to steal anybody else's traffic, and what we're trying to do is just carry what we carry. How others react to that is really more of a question you have to ask them. Over the last year or so, most of those reactions have been generally benign because like us, we think most other airlines are searching for economic return, not necessarily sort of emotion-based schedule.
Daniel McKenzie - The Buckingham Research Group Incorporated: Understood, appreciate that. I guess second question here, what kind of IT investments are you guys making today to implement longer-term ancillary revenue initiatives? I know you circled some big long-term revenue initiatives, and I'm just wondering where you are, what ending we're at with respect to perhaps some of these longer-term goals.
Edward M. Christie: Sure. We do quite a bit of activity mostly in-house that our team works on to support our very creative marketing department in thinking about how we deploy our ancillary strategy. And an example of that, we alluded to in the script about how we have now -- we can now sell seat assignments at our kiosks. That type of work is happening behind the scenes with routine. And to Ben's point, the changes that we see in our ancillary revenue on a per passenger basis will come now in the $0.05, $0.10, $0.15, $0.20 per passenger range rather than the $5 or $10 per passenger. And the reasons that those things would happen are all the little things that our guys are working on to refine both the way they price and when they price the different products.
Operator: We show no further questions in queue.
B. Ben Baldanza: Okay.
DeAnne Gabel: Well, thank you, everyone, for joining us today.
Operator: Ladies and gentlemen, this concludes today's conference. We thank you for participating. You may now disconnect.
DeAnne Gabel: Thank you, everyone.
B. Ben Baldanza: Thank you.